Operator: Good day, everyone, and welcome to VeriSign's Fourth Quarter and Full Year 2013 Earnings Call. Today's conference is being recorded and unauthorized recording of this call is not permitted. At this time, I would like to turn the conference over to Mr. David Atchley, Senior Director of Investor Relations and Corporate Treasurer. Please go ahead, sir.
David Atchley: Thank you, operator, and good afternoon, everyone. Welcome to VeriSign's Fourth Quarter and Full Year 2013 Earnings Call. With me are Jim Bidzos, Executive Chairman, President and CEO; George Kilguss, Senior Vice President and CFO; and Pat Kane, Senior Vice President, Naming and Directory Services. This call and our presentation are being webcast from the Investor Relations section of our website, www.verisigninc.com. There you will also find our fourth quarter and full year 2013 earnings release. At the end of this call, the presentation will be available on that site, and within a few hours, the replay of the call will be posted. Financial results in our press release are unaudited, and our remarks include forward-looking statements that are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically the most recent forms -- report on Forms 10-K and 10-Q and any applicable amendments which identify risk factors that could cause actual results to differ materially from those contained in the forward-looking statements. Please note that we have not fully completed the tax provision calculation process and the tax provisions for both the fourth quarter and full year 2013, including the income tax benefit related to the worthless stock deduction and income tax expense related to taxable income generated in the U.S. as a result of the intended repatriation, are still preliminary, and therefore, GAAP net income and GAAP earnings per share for these periods are also preliminary. Final tax provisions, GAAP net income and GAAP earnings per share will be included in the annual report on Form 10-K for the year ended December 31, 2013, to be filed with the SEC, and may differ materially from what we discuss today. VeriSign retains its longstanding policy not to comment on financial performance or guidance during the quarter, unless it is done through a public disclosure. The financial results in today's call and the matters we will be discussing today include GAAP and non-GAAP measures used by VeriSign. GAAP to non-GAAP reconciliation information is appended to our press release and slide presentation, as applicable, each of which can be found on the Investor Relations section of our website. In a moment, Jim and George will provide some prepared remarks, and afterward we will open up the call for your questions. With that, I would like to turn the call over to Jim.
D. James Bidzos: Thanks, David, and good afternoon, everyone. Our fourth quarter results capped a solid 2013 for VeriSign, in which we executed on our goals to protect, grow and manage the business. In 2013, we provided uninterrupted availability for the common net DNS, now for over 16 years. We processed 34 million new domain registrations and finished the year with 127.2 million names in the domain name base. We recorded strong 2013 financial performance, including 10% year-over-year revenue growth and $533 million in free cash flow. During the year, we repurchased 21 million shares for $1 billion. As noted in our press release, we liquidated one of our domestic subsidiaries during the fourth quarter and plan to claim a worthless stock deduction on our 2013 federal income tax return for a net tax benefit of approximately $375 million. Also, we intend to repatriate approximately $700 million to $800 million of offshore cash during the second or third quarter of this year. George will provide further details on the worthless stock deduction and plans for repatriating a portion of our offshore cash. Our balance sheet remains strong with $1.7 billion in cash, cash equivalents and marketable securities at the end of 2013. During the fourth quarter, we continued our share repurchase program by repurchasing 4.1 million shares for $225 million. On January 31, 2014, the Board of Directors increased the amount of VeriSign common stock authorized for repurchase by approximately $528 million to a total of $1 billion in authorized and available under the share buyback program, which has no expiration. We continually evaluate the overall cash and investing needs of the business and consider the best uses for our cash, including potential share repurchases. New generic top level domains were delegated into the root zone during Q4. While we admit we have been invited by ICANN to begin the contracting process for 12 of our 14 applications, VeriSign has not yet signed agreements for these gTLD applications. We will provide updates, as appropriate, regarding the status of our applications and the status of back-end registry customers. Over the past few quarters, we've spoken about efforts in our area of innovation and intellectual property. We've made progress in both these areas and may see revenue from these efforts, as well as from new gTLDs and back-end Registry Services in 2014. However, based on current visibility, we're not including any such revenue in the 2014 revenue guidance George will be discussing in a few minutes. Our NIA unit grew revenues, bookings and customers in 2013. I'll comment now on the fourth quarter and full year operating highlights. In our Naming business, at the end of December, the total base of active registered domain names in the zone for common net was 127.2 million, consisting of 112 million for .com and 15.2 million names for .net. This represents an increase of 5% year-over-year. In the fourth quarter, we added 1.29 million net new names for the domain name base after processing 8.2 million new name registrations. In the third quarter of 2013, the renewal rate was 72.7% compared with 72.5% for the third quarter of 2012. While renewal rates are not fully measurable until 45 days after the end of the quarter, we believe that the renewal rate for the fourth quarter of 2013 will be approximately 72.2%. This rate compares to 72.9% achieved in the fourth quarter of 2012. From the daily posting of the zone file through January, the first quarter incremental zone growth has been trending below last year's levels. While there are many factors that drive zone growth, there are a couple of items of note affecting the zone during this quarter. Recent changes to certain domestic and international registrar marketing tactic have had a near-term negative impact on the zones as these registrars are focused on increasing bundled product offerings rather than on driving domain name sales and have been running fewer discount programs on new domain. Also, we see some impacts from economic headwinds in emerging markets that are contributing to January's lower trend in zone growth. While it is too early to say for how long or how much these factors may affect zone growth, we currently see it impacting registrations in the first half of the year. But we expect net new names additions to return closer to last year's levels in the second half of the year. Also, as we have discussed in previous calls, the overall renewal rate has been softer, primarily due to the lower renewal rates for first-time renewing names. Given our forecast for zone growth, including the factors just discussed, we expect .com and .net names added to the zone in the first quarter of 2014 to be between 1 million and 1.5 million names. As noted in prior calls, updates to the zone are posted on our website at least once per day, allowing you to track how the zone is growing throughout the coming quarter. Now I'd like to turn the call over to George.
George E. Kilguss: Thank you, Jim, and good afternoon, everyone. Before discussing the fourth quarter and full year financials, I would like to review with you the update on the worthless stock deduction and the repatriation noted in today's press release. As Jim mentioned, we liquidated, for tax purposes, one of our domestic subsidiaries during the fourth quarter of 2013, which will allow us to claim a worthless stock deduction on our 2013 federal income tax return. We recorded a net income tax benefit during the fourth quarter of 2013 of approximately $375 million related to the worthless stock deduction, net of valuation allowances and accrual for uncertain tax positions. VeriSign also sold certain cost method investments during the fourth quarter of 2013 and realized a pre-tax nonoperating gain of $15.8 million on this disposition. Additional information regarding this liquidation and the benefit is contained in today's press release. As with any tax filing, the worthless stock deduction may be subject to audit and adjustment by the IRS. If the IRS rejects or reduces the amount of the income tax benefit related to the worthless stock deduction, we may have to pay additional cash income taxes, which could adversely affect our results from operation, financial position and cash flow. Further, we cannot guarantee what the ultimate outcome or amount of benefit we receive will be, if any, if the deduction is reviewed and adjusted by the IRS. As part of this process, we evaluated various scenarios to realizing the tax benefits from the worthless stock deduction and determined that using part of the benefit to offset current year domestic income, combined with the repatriation of a portion of the cash held by foreign subsidiaries, as the most financially beneficial alternative. Accordingly, during the second or third quarter of 2014, we intend to repatriate approximately $700 million to $800 million of cash held by foreign subsidiaries in a tax efficient manner by using the tax benefit resulting from the worthless stock deduction to offset the taxable income generated in the U.S. as a result of the repatriation. The repatriation amount utilizes substantially all of the projected, available, distributable capital reserves of our foreign subsidiaries under applicable foreign statutes. During the fourth quarter of 2013, we recorded an income tax expense of approximately $167 million related to the taxable income generated in the U.S. as a result of the intended repatriation in 2014. For funds remaining in the foreign subsidiaries after the intended repatriation that have not been previously taxed in the U.S., our intent remains to indefinitely reinvest those funds outside of the U.S., and accordingly, we have not provided deferred U.S. taxes for such funds. We expect the remaining worthless stock deduction benefit to be used during fiscal 2014 to offset anticipated domestic income taxes. I would now like to discuss our fourth quarter and full year 2013 results. During the fourth quarter, the company generated revenue of $246 million, up 7% year-over-year, and delivered GAAP operating income of $130 million, compared with $135 million in the fourth quarter of 2012. The GAAP operating margin in the quarter came to 53% as compared to 58.8% in the same quarter a year ago. GAAP net income totaled $292 million, compared to $106 million a year earlier, which produced diluted GAAP earnings per share of $1.94 in the fourth quarter this year, compared to $0.65 for the fourth quarter last year. Results for the fourth quarter of 2013 included the income tax benefit related to the worthless stock deduction, income tax expense related to the taxable income generated in the U.S. as a result of the intended repatriation and $15.8 million pre-tax nonoperating gains from the sale of certain investments, which collectively increased net income by approximately $218 million and increased diluted earnings per share by $1.45. As of December 31, 2013, the company maintained total assets of approximately $2.66 billion, up from $2.06 billion a year ago. Of the total assets, $1.7 billion were in cash, cash equivalents and marketable securities, including $250 million in cash and cash equivalents held domestically. Total liabilities were $3.08 billion as of the fourth quarter, up from $2.07 billion a year ago. I'll now review some of our key fourth quarter operating metrics, which are revenue, deferred revenue, non-GAAP operating margin, non-GAAP earnings per share, operating cash flow and free cash flow. I will then discuss our 2014 full year guidance. As mentioned, revenue totaled $246 million for the fourth quarter. 61% of our revenue was derived from customers in the U.S., and 39% was from foreign customers. For the full year, 2013 revenue was $965 million, up 10% year-over-year. Deferred revenue at year-end 2013 totaled $856 million, a $43 million increase from year-end 2012. Fourth quarter non-GAAP operating expense, which excludes $10 million of stock-based compensation, totaled $106 million compared with $100 million in the third quarter of 2013 and $88 million in the fourth quarter of 2012. The non-GAAP operating margin for the fourth quarter came to 56.9%, compared to 62% in the same quarter of 2012. Last quarter, we signaled an expected increase in sales and marketing expense, which was realized in our fourth quarter results. You will also note that G&A expenses were higher in the fourth quarter of 2013 as compared with the third quarter of 2013. Much of this quarter-over-quarter increase in G&A expense is related to capital taxes and other expenses as we prepared for the worthless stock deduction and the intended repatriation of offshore assets during 2014. The fourth quarter 2012 operating margin benefited from certain credits, as detailed in last year's press release. Non-GAAP net income for the fourth quarter was $98 million, resulting in non-GAAP diluted earnings per share of $0.65 compared to $0.59 in the fourth quarter of 2012 and $0.59 last year -- last quarter. Full year 2013 non-GAAP earnings per share was $2.40, a 22% increase over 2012. Results for 2013 included pre-tax nonoperating gains of $15.8 million recognized during the fourth quarter from the sale of certain cross-method investments, which increased non-GAAP net income by $11.4 million and diluted earnings per share by $0.07. Non-GAAP interest expense and non-GAAP nonoperating income net for 2013 was $45 million expense and included the $15.8 million in realized nonoperating gains from investment sales mentioned earlier. With respect to taxes, we continue to use a non-GAAP tax rate of 28% for our non-GAAP net income and non-GAAP EPS calculations. In 2014, we expect to pay cash taxes of approximately $35 million to $50 million. Much of these expected cash taxes in 2014 relate to international withholding taxes on our intended repatriation. We had a weighted average diluted share count of 150 million shares in the fourth quarter compared to 153 million shares in the third quarter. Dilution related to the convertible debentures was 13.7 million shares based on the average share price during the fourth quarter compared with 6.4 million for the same quarter in 2012. The share count was reduced by the full effects of third quarter repurchase activity and the weighted effect of the 4.1 million shares repurchased during the fourth quarter. Operating cash flow was $147 million for the fourth quarter, compared to $134 million in the third quarter of 2013 and $171 million for the fourth quarter last year. Full year 2013 operating cash flow was $579 million compared with $538 million for 2012. Fourth quarter free cash flow was $121 million, which includes a decrease of $11 million in excise tax benefit from stock-based compensation and a use of $15 million in capital expenditures in the quarter. Free cash flow for 2013 was $533 million, including a net $19 million of excise tax benefits and a use of $66 million in capital expenditures. With respect to 2014 guidance, revenue for 2014 should be in the range of $1 billion to $1.02 billion, representing an annual growth rate of 4% to 6%. This revenue range is based on a zone growth rate of between 2% and 4% for 2014 and takes into consideration our Q1 net additions estimate. Non-GAAP gross margin is expected to be at least 80%. Full year 2014 non-GAAP operating margin is expected to be between 58% and 60%. Our non-GAAP interest expense and non-GAAP nonoperating income net is expected to be an expense of between $73 million and $77 million for 2014. Capital expenditures for the year are expected to be between $60 million and $80 million. Our guidance is based on expectations about the outlook of our business in addition to our financial projections for interest income and expense. In summary, the company continued to demonstrate sound performance throughout the year. We grew non-GAAP operating income and net income. We maintained a strong balance sheet, executed on improving our capital structure and expect strong operating cash flow generation to continue as a result of our financial model. Now I will turn the call back over to Jim for his closing remarks.
D. James Bidzos: Thank you, George. Over the last year, we've furthered our work to protect, grow and manage the business while delivering value. We protected our business by providing over 16 years of uninterrupted availability of the .com and the net DNS. This track record is due to the strength and experience of our people, our commitment to excellence, our specialized and purpose-built network and the extensive redundancy built into our infrastructure. Our focus on innovation supports our business growth initiatives as we continually work to develop new products and services. Furthermore, we've been managing the business effectively through expansion of our operating margins and delivering value to shareholders. During 2013, we repurchased 21 million shares for $1 billion. We recorded an income tax benefit of $375 million in the fourth quarter of 2013. And in 2014, we intend to repatriate $700 million to $800 million of our offshore cash. We remain committed to offering the security and stability that are at the core of our business and providing value to our customers, employees and shareholders. We'll now take your questions. Operator, we're ready for the first question.
Operator: [Operator Instructions] And our first question will come from Sterling Auty of JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: I wanted to drill into the names, first of all. You mentioned a couple of factors that might be headwinds here, emerging markets, and then the renewal rate in terms of the economy. Curious on the emerging markets specifically, can you give us a sense of what kind of growth that they were contributing to the zone increase in 2013? And are there programs you expect to start to come in, in the middle of the year on that discounting trends [ph] that might be exploited? And then one follow-up.
George E. Kilguss: Sure, Sterling. So we did have some good success in penetrating some international markets last year. They seem to be performing at least early on. We have 1 month of data here with the actual date of January, and we see those markets, but primarily, I would say, China and that market being a little slower than last year. But as we talked about in our prepared comments, there are really a confluence of factors that are affecting our zone in the first quarter. And we talked about some of the changes that registrars had been making in some of their marketing tactics, really focusing more on ARPU and customer acquisitions. We also see them not discounting names as much, which is another indicator of them going after increasing ARPU instead of customer acquisitions. And we've seen the emerging market weakness. I will also say anecdotally, we've seen some continued tweaks of the Google algorithm. We do know there were 2 announced changes, one was a Penguin update and then the other one was something with regard to around how authors are viewed in their systems. But we do note that there's been some volatility in the keyword ranking, at least starting in mid-December and continuing on through January. So we've been noticing that. Haven't seen a direct correlation just yet, but that has been happening. So a confluence of factors that we've seen in the month of January. And as a result of the month of January, we've taken that input into our models and believe that will have somewhat of a negative impact for us, at least in the first half of the year. But our current models show us that the numbers of the net new adds should return in the third and fourth quarter to similar Q3 and Q4 levels from previous years.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Okay. And then as a follow-up, any thought to whether the gTLD program, whether people coming in for new sites might actually be thinking about an alternative gTLD to .com? And maybe that's having some sort of impact? And you also mentioned that your gTLD, both your names and your back-end registry, is not in guidance. Any sense of what that might contribute to 2014?
D. James Bidzos: Yes, Sterling, this is Jim. So let me take those in reverse order there. So first of all, the guidance that we gave, as I mentioned during my prepared remarks, does not include any revenue just because of visibility issues. We've been invited to begin contracting. Contracting, as you know, can be a complex process, so we just don't have the visibility to say that. Now some of our back-end customers, I think, are a little bit further down the process, and when I finish here, I'll invite Pat to comment a little bit on where some of them may be. I believe there's at least one of them that we expect to go live some time fairly early in 2014. So as far as the new gTLD program, I don't think that -- I think I don't see anybody who's going to abandon the .com for a new gTLD. There's a lot of strong anecdotal evidence that, that may not be the case. I can give you an example. So for example, you may have seen that the U.K. paper, dailymail.co.uk, a very typical English configuration for a web address, using a company dot U.K. configuration. So dailymail.co.uk purchased dailymail.com. They said that they purchased it because they wanted something that was more global that would allow them to get more traffic, especially in the U.S. They paid GBP 1 million for it. They bought it from The Charleston Daily Mail of Charleston, West Virginia, a 100-year-old Pulitzer Prize winning newspaper, who after they got their roughly $1.6 million for that domain name, were free to go out and buy whatever they wanted. Then they chose to go out and buy charlestondailymail.com. If they bought it for retail, they probably paid about $10 for it. So I think .com is very much the preferred, established reliable name. I don't know what's going to happen in the future with the TLDs. I'm sure some of them will do well, they'll build some community. But I guess I can give you one data point. If we look at -- look back, this is not the first time this has happened. There have been some new TLDs before, and one of them that I think actually is a good idea of what success what might look like, a good example would be .co. And I'm sure a lot of you are familiar with it. .co is a short name, it's just 2 letters. It's a meaningful name, it's linked to company. They went live in July of 2010. They had a very robust marketing partner, they partnered with Go Daddy, the largest registrar. They did 3 Super Bowl ads. They did, I thought, a very good job of marketing. They did partner with Go Daddy on 3 Super Bowl commercials. They have a substantial marketing budget. They had no gTLD competition when they came out. And they're not ICANN-regulated because they're operating under contract from the ccTLD .co for Colombia. So their history was that when they went live in July of 2010, they registered 100,000 domains in the first 10 minutes that they were live. Less than a year later, in June of 2011, they had reached 1 million domains. During that same period, by the way, that 11-month period, .com registered about 7 million. Just under 2 years later, by April of 2013, they had gone from 1 million to 1.5 million, so they added 500,000 domains during those 2 years. During that period, .com added 13.2 million. And then from April of 2013 until December 31 of last year, they added another 90,000 names, they closed the year at 1.59 million. .com added another 3.5 million during that time. I think they've done a great job with .co. I think they've been successful there. They ended the year at 1.59 million domains. Their growth has slowed a bit, obviously. But in Q3, we added 1.55 million names, that's the entire size of the .co zone. We added that in one quarter. We typically have 5x the size of their zone in gross adds in a quarter. So I think with somewhere in the neighborhood of, I don't know, 400 or 500 gTLDs that are non-brand that'll be distributed, it's going to be a little bit more crowded. They're obviously more specialized and different. I'm not sure where that's going to end up, but I do know that we have at least one data point, so I think we've coexisted well and done well with .co, and I'm sure we will with the other gTLDs. And I'm sure there'll be a lot of excitement as they roll out over the course of 2014. But we -- what we described as impacting our zone in the first quarter is what we see, some registrar behavior and also some economic headwinds that we're seeing in Asia.
Operator: [Operator Instructions] Your next question comes from Steve Ashley of Robert W. Baird.
Chaitanya Yaramada - Robert W. Baird & Co. Incorporated, Research Division: This is Chaitanya for Steve Ashley. I wanted to ask, now that you're going to be repatriating $700 million to $800 million in the middle of the year, how should we be thinking about the cash use? Are you going to continue the strategy of aggressive buybacks? Or is there a possibility of more M&A or even a regular dividend?
D. James Bidzos: Yes, this is Jim. First of all, we don't guide to buyback, but I -- we prefer that you look back at our history. We are committed through our strategy framework to protect, grow and manage the business. Under, as I mentioned during my comments, under manage the business, an important component of that is that we return value to our shareholders. We have in the past used dividends, but, of course, we've made extensive use of share repurchases during '13, during 2013, as I mentioned, having deployed $1 billion in cash for share repurchase. Every quarter, we reevaluate the needs of the business and what we may do to have when we decide on capital allocation. With respect to your question about M&A, I think we've been fairly consistent over the years that sort of growth for growth's sake and growth as a strategy is not part of our growth plan. However, if we see a way to accelerate a path to either a new product that we're developing or some other opportunistic things that may come along, we're certainly not opposed to doing those kinds of things if they're consistent with our core business, consistent with our commitment to delivering good, profitable growth. So I'm not saying we're ruling out M&A completely, of course, but there's no M&A in our radar at this point. There could be opportunities in the future. There will be many new registry operators. I don't know if all 500 will ultimately succeed over the years, but again, if there's an opportunity to improve our core business and drive profitable growth through some M&A opportunity, we're certainly open to looking at it, but that is not a part of our growth strategy. We don't believe in acquisition as a growth strategy. And I'd like George to comment further.
George E. Kilguss: No, I think that's right, Jim. With all our cash, as Jim mentioned, we really look to protect, grow and manage. First off, we absolutely want to maintain [ph] enough liquidity to protect the business, the very dynamic business that we're in. There's always a cyber threat that we're thinking ahead of, and we make sure that we invest enough in the business and in the future architecture of the business to protect the business. We then look at opportunities where we can invest the business and try to achieve positive returns for investors. And once we come to that conclusion, if there's excess capital that, as Jim said, could potentially be an accretive acquisition, we may look at that. But otherwise, we historically have returned excess capital to shareholders.
D. James Bidzos: And just to add one more comment to that, I think it's often overlooked in our business, and I'll just remind everyone again that our primary strength is the reliability and stability of our global network and our platform. 16 years of uninterrupted reliability for .com has been the foundation on which the hundreds of billions of e-commerce in the U.S. alone have been built on. I think that reliability is absolutely a critical component that helped e-commerce to flourish. So that is job 1 for us. We have a contract, we have obligations to deliver under that contract. First and foremost, the first consideration for our use of cash is making sure that we maintain a secure and stable network. That's the protect part of the business and protect is first for a reason. So we do look at that. And opportunities from there, of course, we consider. But that's first and foremost. And as George mentioned, cyber attacks are becoming more frequent. More challenging, more difficult, cybersecurity is a growing area, of course. And we are a large consumer of our own cybersecurity technology, that's what's kept us delivering and performing for so long.
Chaitanya Yaramada - Robert W. Baird & Co. Incorporated, Research Division: Absolutely. That's very helpful. And also I just wanted to kind of ask again on the domain name growth side. .net has been lagging the .com growth for a while, and it looks like that decelerated as well in the recent months. Is there any reason for that? And is there anything that you can do from a marketing perspective to help that growth?
D. James Bidzos: This is Jim. I'll just make a brief comment, and I'll invite Pat to comment on that. In past quarters, you may have heard us talk about our efforts to do more targeted marketing. I think we've had some success with that, especially in some offshore markets. And that has, I think, helped some of that growth. But if your question is specifically about the relative comparative growth between .com and .net, I'll invite Pat to comment on that.
Patrick S. Kane: So all I can think of is .com has outdone .net from the other direction. But we are taking a look at .net and continue to market that as one of our lead properties. We think it's got a lot of value that can still be gained out of it, but it will continue to grow.
D. James Bidzos: Yes, .net is over 15 million registrations, so it is rather sizable. .co, which I talked about, which I think, again, is an indication of what a successful gTLD launch is. Basically between July of 2010, when they launched, and the end of 2013, December 31, that 1.5 million names is not an easy thing to do. But .net is still roughly 10x that size.
Chaitanya Yaramada - Robert W. Baird & Co. Incorporated, Research Division: Perfect. And finally, I just wanted to ask on G&A. I know that the second half of last year was elevated because of the liquidation of data [indiscernible]. How do we think about G&A cost going forward when we model out for 2014?
George E. Kilguss: Sure. So, I mean, if you took our guidance that we provided to you and you use the revenue range that we gave of $1 billion to $1.20 billion and the 58% to 60% non-GAAP operating margin, that would box you into a $400 million to $428 million non-GAAP operating expense range for the full year. As it relates to the fourth quarter, we did have some expenses in the fourth quarter related to our worthless stock deduction that should not be recurring going forward. But for the full year range, I think if you just do the math on our guidance, you'll come to about a $400 million to a $428 million non-GAAP operating expense range.
Operator: And our next question will come from Gregg Moskowitz of Cowen and Company.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: George, just wanted to ask, do the tax benefits from the worthless stock deduction completely offset the taxable income from the expected repatriation?
George E. Kilguss: Yes, we should be able to do that in a very tax efficient -- it will offset domestic taxes. We will still pay some international taxes when we do the repatriation, but as far as domestic taxes, we believe we'll able to shield about $167 million of taxes associated with that repatriation to the United States.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: Okay. So just to confirm, does that mean then, I guess, that the full $700 million to $800 million can be repatriated without any offsetting cash tax liability for the company?
George E. Kilguss: Domestic cash, yes. We'll still pay some international tax, and we talked about that number. But we should be able to use that deduction to offset domestic taxes associated with repatriation.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: Okay, perfect. And in Q4, did you spend the full amount of accelerated sales and marketing investments that you had initially planned? And is that something you expect will continue in the first half of this year as well?
George E. Kilguss: Yes, I would say pretty much. I mean, you saw -- if you look at the numbers, you saw that sales and marketing was up about $2 million quarter-over-quarter. We talked about that $2 million, $2.5 million as the amount that we were moving to the back half of the year, so that was pretty much in line with our expectations. I can say that we absolutely plan to continue to invest in marketing, sales and marketing activities. I mean, if you looked at sales and marketing going back a couple of years, we've been as high, for example, in 2012, as $26 million to $24 million the first 2 quarters of 2012. In this particular quarter, we were about $23 million. Again, this is on a non-GAAP basis, which just basically excludes stock-based compensation. And so we continue to look for opportunities to invest in marketing, but we are absolutely monitoring those and making sure that those uses of investments are generating positive returns.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: Okay. And then just one last one. I have a question on the -- I guess for Jim or for George, on the 2014 unit growth guidance of 2% to 4% for .com and .net. In order to reach the low end of that range, just doing the math, it looks like we would have to see net adds in 2014 fall by more than 50% from 2013 levels. And given your comments that net adds should return to similar levels in Q3 and Q4 as what we've seen in previous years, it just seems very difficult to see how we would actually arrive or how you would get to the 2%. Is this just -- is that conservatism or is there something else there that I'm missing?
George E. Kilguss: Well, again, I would say we have one month of data, right? If you looked at our January results and you went to the website, you would see that for the month of January, we added about 355 million names. So January was -- I'm sorry, 355,000 names. And so it was down substantially. So we've put those actuals into our models, we've run them out, and we do think that the first half of the year will be below the first half of actual results for last year. When we look at those models today, when we run them, they indicate that those levels should return back close or near to what we did in previous quarters in the second half of the year. So closer to our 3Q and closer to 4Q of last year. Those models are dynamic. They will continue to change, but that's what we're looking at. The 2% to 4% is our view based on what we're seeing coming out of January and in our models, for the rest of the year. Obviously, as you know, you'll be able to monitor our progress from the post on our website that we update daily. And in our next quarter, we'll give you some more update based on more actual information that comes in as these different factors play out. But the 2% to 4% is our expectation for the year as we sit here today.
D. James Bidzos: I don't think you should read anything more into that other than it's simply based on the limited visibility based on the amount of time into the year that we are. We have a month's worth of data.
Operator: And our next question will come from Walter Pritchard of Citi.
Walter H. Pritchard - Citigroup Inc, Research Division: Just wondering if you could talk a bit about on the delta [ph] marketing expenses. It does feel like with unit growth coming down and with obviously the benefit of the price increase that you had before, that you've had on the margin side to not spend as much to get margin expansion up. I'm just wondering if that's had any -- with reduced sales and marketing spend still sort of flattish, if that's had any impact on your ability to grow the top line?
George E. Kilguss: Walter, if you look at total sales and marketing expense for the fiscal year, our spend was down a little bit year-over-year. You're correct there. Now part of that came because we're trying to revamp programs to make them more efficient. And we are investing, I think, more this year, at least in more international markets and more focus over there. And markets have cycles they go through. We had -- I think we had some good progress in some international and emerging markets. Right now there's a little bit of an economic headwind in the short term, but we still think that there's good growth opportunities in those markets. As one would expect, the marketing techniques we need to invest in, in those markets differ a little bit than in the U.S. But we'll continue to experiment in those opportunities in those markets. We find out what works and what doesn't work. But we firmly believe that marketing is impactful and can be impactful for increasing domain names. And we're working with the registrar community to help improve the programs that we're offering and getting feedback all the time. So I do think you'll see us continuing to invest in sales and marketing, and looking for more innovative ways to do that to drive new domain names.
D. James Bidzos: Yes. And Walter, this is Jim. I will just -- just as a reminder, I'm sure you're all aware of this, but for everybody who may not be, we, of course, exclusively sell through registrars. We don't sell directly. So for these opportunities that we speak, particularly outside the United States where .com is viewed as sort of a well-established global brand, we need to make some investments to prepare and educate the registrars there. And that's a slightly different challenge, of course, than working with English-speaking registrars here. There's just a bit of a slightly more complicated effort. They're farther away, they have their cultural and language differences, and so there is an investment required to get everybody up to speed so that the registrars are prepared to meet the demand that's there and to pursue the opportunities that are there. So we do need to do that marketing, it's important.
Walter H. Pritchard - Citigroup Inc, Research Division: And then, George, just a follow-up on the tax side, [indiscernible] a good portion of it for the offsetting that we did reach [ph]. Can you talk about how you're able to use the other roughly $200 million worthless stock tax credit there? Is it that the reduction is still tax-free [ph] or is there a reduction in cash tax, or over what timeframe?
George E. Kilguss: Yes, sure. So of the roughly $375 million net benefit, as you allude to, we expect to use about $167 million for the repatriation. That will leave us about $208 million. Approximately, half of that $208 million will be used to defer or offset 2013 taxable income. It'll be able to shield that net income. The balance, about $100 million, we expect to use in a normal course in 2014. So we clearly will have U.S. income next year, but we expect to be able to use about $100 million of that benefit in 2014. And we should be through that benefit at the end of next year.
Walter H. Pritchard - Citigroup Inc, Research Division: And then the rest just sort of stays on as the deferred tax asset [indiscernible]?
George E. Kilguss: So that should use up most of the usable benefit. We do have some capital losses, but we don't really see any need for them or use for them in the immediate future. So we have valuation reserved against the capital losses. But the losses that we think we can use, we absolutely have put [ph] and that's been part of the game that we're working [ph].
Operator: [Operator Instructions] Our next question will come from Craig Nankervis at First Analyst.
Craig Nankervis - First Analysis Securities Corporation, Research Division: I don't recall if you spoke to your IP strategy in your prepared remarks, and I wondered if you did not -- I didn't think I heard it, but if you did not, if there has been any sort of update. Maybe we'll just start with that.
D. James Bidzos: Yes, I'm sorry. You said IP?
Craig Nankervis - First Analysis Securities Corporation, Research Division: Yes.
D. James Bidzos: I couldn't hear, I didn't know if you said IT or IP. Yes, if you're talking specifically about our patent program, I did allude to progress that we've made over the quarter, and we did make progress. We have an active program underway to evaluate and develop our plans for exploiting our rather substantial intellectual property portfolio. And I think all I can tell you at this point is that we've made progress in that effort. There's nothing beyond that, that we're ready to publicly disclose at this time. But that effort does continue and we have made progress.
Craig Nankervis - First Analysis Securities Corporation, Research Division: Are you willing to say whether there is a specific strategy beyond the straightforward increase of patent applications? Is there a game plan beyond that activity?
D. James Bidzos: Well, I would say in general, a good approach to any strategy that's designed to exploit your intellectual property, first and foremost, of course, is the investment in developing the IP. And yes, we have done that, and yes, we will continue to do that. I think every program starts with a very careful assessment of what that portfolio is, what value it has, how it can best be exploited, how it can best serve your business interest, whatever those may be. So without getting into details of exactly where we are in that process, we're well along the evaluation process. One needs to understand what one has, match it up to their business strategy and then develop a plan to exploit it. So that's our strategy, and we're progressing down that path. So without giving any details about where we are, we're pleased with the progress we're making and moving down that strategic path. And along the way, we absolutely do continue to innovate, and the patent filings are a byproduct of that innovation where we continue to do that. We take a lot of pride in that.
Craig Nankervis - First Analysis Securities Corporation, Research Division: Am I pushing it a little much by asking, is there any likelihood that something actually happens on this front this year? Or are you not willing to speak to much of a timetable?
D. James Bidzos: I think it's just early to say anything at this point. We'll certainly keep you up-to-date, but this quarter's update is that we're active and we're making progress.
Operator: And our next question will come from Phil Winslow of Credit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: Most of my questions have been answered, but I just want to get some color on just sort of the process in interacting with ICANN on these refilled [ph], entering into contract talks. And sort of what is being sort of negotiated here or what could be negotiated back and forth? And then as far as those that have -- and several has been sort of asked through your interim talks. And what percentage of those are you potentially serving as the -- or are you serving as -- going to be serving at the back-end infrastructure [ph] and -- or you already have some sort of contract in place?
Patrick S. Kane: This is Pat, and I'll talk to the contracting process. And so there's a base contract that was part of the application guide that ICANN put together that everybody starts from. And there were -- some gTLD applicants were invited to contract even though there were still some issues around the name collisions and how they were going to be handled. And basically we've been waiting to see kind of what that name collision process ends up looking like before we go down a road to where we don't really know what the process is to handle them or basically work within the ICANN framework. So we've been -- so we have 9 months -- there's a 9-month process to go through the contracting process and we've been invited to do that. At the end of that 9 months, there's an opportunity to extend that negotiating contract, an additional 9 months, for a total of 18-month window to negotiate. So there's still some things that we will go to the table and ask for within those contracts. And so it could take some time. And the IDNs that we have, because of the proposed process that we put in place, it could take a bit longer because for -- since sort of we are focusing on helping IP and trademarking intellectual property, protect the brands within those IDNs, which are transliterations of .com and .net. It may take a little bit of extra time for us to do -- to get through that.
Operator: I'm showing [indiscernible].
Philip Winslow - Crédit Suisse AG, Research Division: And then just as far as the others that have been invited, outside of the ones that you can directly ask to talk to, how many have you already sort of established the contracts where they've been [indiscernible] to service the back-end?
Patrick S. Kane: As far as our back-end services, I don't think that it's really in our place right now to talk about exactly where they are in the contracting process because it is their contracting process. But as Jim said earlier, we will have some that will go live in the spring, but some will take longer.
D. James Bidzos: But just to avoid any confusion, the contract between those applicants and VeriSign, those contracts have been completed and been in place for quite some time.
Patrick S. Kane: Almost 2 years.
D. James Bidzos: Almost 2 years, and that's roughly 200 back-end registry services customers that are applicants. So they have to get through ICANN's process. They have signed up with us, which is the way that they met the requirements under the ICANN process to have established a registry capability by specifying VeriSign as their back-end service provider. But their contracting process or their string itself is between them and ICANN. And that will be what it is between those 2 parties.
Operator: And we'll take our last question from Sterling Auty, JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Just a quick follow-up on that line of conversation. Pat, you mentioned, to protect trademarks and the IDNs, that may take longer. I guess it was our understanding that there was that period of time that the trademark clearinghouse was supposed to do that. Are you saying that you're doing something above and beyond what the trademark clearinghouse is doing?
Patrick S. Kane: Yes. Essentially I haven't said that we're doing something different, and because what we're doing -- we may have talked about this in previous calls, but the idea of applying for the transliterations of .com and .net, one of the benefits of that was to protect the applicant -- or protect the registrant that has invested in .com today. So if there's a transliteration of .com in Chinese, what we have proposed to do is to make certain that only the registrant that is -- or if the registrant has already registered in .com, that they're the only one that has the opportunity to register that domain name in the transliterated version for Chinese or for Hangul or for whatever TLD that we've operated. So that's something that's unique to what we're doing within our applications. And so that's an additional protection for intellectual property and trademarks.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Okay. And then on a different topic, Jim, the proposed guidance has one of the smaller margin expansions that we've seen in the last couple of years, but you're not including potential revenue from the 3 sources that we've discussed. If you were to get revenue from gTLDs or IP, should we think that those would come in and potentially drive incremental margin expansion above the guidance level? Or would there be expenses associated with it, so that's still a good range to think about even if there was a higher revenue add from those sources?
D. James Bidzos: Sterling, I love your question. I think I can answer this one, even though it started with if. So I have consistently said over the quarters that I've been speaking with our investors that the growth areas that we're looking at, they're complex, as Pat pointed out, with respect to IDNs. They are sort of specialized in the sense that we're looking for business opportunities that leverage the investment we've made in this network. And so that, therefore, they should yield margins that are comparable to the existing business. And that's why it's taking maybe a little bit longer. We don't do quarterly press releases about new features or products. We're looking for opportunities that play on our strength, that leverage the investment we've made in a powerful global infrastructure that's reliable and high-volume transactions, high-volume registrations and ultra high-volume resolutions in the many, many tens of billions or in excess of 100 billion per day. And so in looking for those applications, by definition, they would yield margins that are, I guess, in the end, are targeted to be accretive to the margins in our business. So I think we certainly aspire to deliver those services in such a way that if there were going to be revenue, that I -- our goal is to have it not adversely impact our margins.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Okay. And last question would be, last earnings call, you talked about going into -- I don't think you wanted to call it a beta, but attach with a potential customer on a new product or service during the fourth quarter. Any update to that? Any update to when you might actually release whatever it is commercially?
D. James Bidzos: Well, I've not been quite as timely with that goal as I've sort of hinted in past quarters. And so I wish I had a little bit more I can tell you, but all I can say at this point is that we have made progress. It's an active effort, and we have made progress, and when we can share something with you, we absolutely will. So I apologize, I can't say more than that right now.
Operator: And at this time, I'll turn the conference back over to Mr. Atchley for any additional or closing comments.
David Atchley: Thank you, operator. Please call the Investor Relations department with any follow-up questions from this call. Thank you for your participation and continued support. This concludes our call. Thank you and good evening.
Operator: And that does conclude today's teleconference. Thank you all for your participation.